Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:04 Hello, and thank you for standing by for Energy Monster’s 2021 Fourth Quarter and Full-Year Earnings Conference Call. At this time, all participants are in listen-only mode. After management's prepared remarks, there will be a question-and-answer session. Today's conference is being recorded. If you have any objections you may disconnect at this time. 00:26 I would now like to turn the meeting over to your host for today's conference call, Director of Investor Relations, Hansen Shi.
Hansen Shi: 00:34 Thank you. Welcome to our 2021 Fourth Quarter and Full-Year Earnings Conference Call. Joining me today on the call are Mars Cai, Energy Monster’s Chairman and Chief Executive Officer; and Maria Xin, Chief Financial Officer. For today's agenda, management will discuss business updates, operation highlights and financial performance for the fourth quarter and full-year 2021. 01:00 Before we continue, I refer you to our Safe Harbor statement in the earnings press release, which applies to this call as we will make forward-looking statements. Also, this call includes discussion of certain non-GAAP financial measures. Please refer to our earnings release which contains a reconciliation of non-GAAP measures to the most directly comparable GAAP measures. Finally, please note that unless otherwise stated, all figures mentioned during this conference call are in RMB. 01:28 I would now like to turn the call over to our Chairman and Chief Executive Officer, Mars Cai for the business and operation highlights.
Mars Cai: 01:37 Thank you, Hansen. Good day everyone, welcome to our 2021 fourth quarter and full-year earnings call. We are pleased to announce fourth quarter results above our guidance with revenues reaching over RMB836 million for the fourth quarter of 2021, despite the continuous negative impact of COVID on our operations. During the fourth quarter a number of regional COVID outbreaks just to name a few Chengdu in November, which resulted in a 41% decline in revenue during the 15-day period after the initial case. Sichuan in December, down 59%, Ningbo in December was down also 57% and Dalian in November, down 53%, continue to bring challenges to our operation. 02:35 This COVID outbreaks are generally followed by significant drop in offline foot traffic as people are more likely to stay at home and due to containment measures implemented by the government. Although these regions do recover once the outbreak is contained, it generally takes anywhere between one to two months to fully normalize depending on the scale of the outbreak. The higher frequency and larger scale occurrence of outbreaks are resulting in a general decline in offline user traffic across the board in impacted regions, but most notably in the entertainment, hospitality and transportation categories which declined year-over-year by 24%, 25% and 27%, respectively, in terms of the average revenue per POI. 03:35 During the fourth quarter of 2021 same-store revenue decreased by approximately 30% year-over-year as a result of these outbreaks. Based on industry information, even KA brands in the chain restaurant, hospitality and entertainment industries were significantly impacted during the quarter, although to a lesser extent, compared to a smaller brands. As we continue to face the increasing headwinds from larger and higher frequency regional COVID outbreaks, we are actively implementing measures to lessen our exposure to such external events and strengthening our long-term competitive advantage. To do so, we have to focus on reducing our fixed costs and expenses to better mitigate against fluctuations in revenue resulting from COVID outbreaks. 04:36 Also, as we continue to scale our POI network, we will continue to implement measures to increase the efficiency of our assets, notably in the form of our power bank optimization program. We also have plans to roll out newer version of our cabinets during mid-2022, which will feature reduced cost per cabinet with improved features and similar built quality. Post the continuous implementation of the power bank optimization program and cabinet cost reduction will increase the efficiency of our assets, unlocking higher levels of return for both Energy Monster and for our network partners. 05:24 While we continue to be impacted by COVID in the short term, we remain confident in long-term development of the business. We believe the service we provide is fundamental to the way of life here in China and that the long-term demand for our services remain highly resilience against short term shocks. To better navigate ourselves during these special times, let me walk you through our core strategies in terms of coverage and operation that will help us reduce our COVID exposure and strengthen our long-term competitive advantage. 06:06 First is the coverage of our service network. As of the end of the fourth quarter, our total coverage of POIs reached 845,000, up 25,000 quarter-over- quarter and up 181,000 year-over-year. Our ability to continuously and efficiently expand our POI coverage reflects our strength in both our direct and network partner models. The increased coverage serves as the base of a new user acquisition as we continue to move into new locations and provide our service to first time users. 06:47As of the end of the fourth quarter in 2021 cumulative registered users reached 287 million, up 13.8 million quarter-over-quarter and up 67.5 million year-over-year. Going forward, the network effect between our POI coverage and a cumulative user base we continue to benefit our ability to increase our market share in China's mobile device charging service industry. 07:19 Now in terms of the competitive environment, throughout last year and especially in the recent months we are seeing a decline in competition under the direct model as competitors within the industry significantly scaled down their direct operation personnel. This shift in the industry has resulted in a lighter competitive environment for POIs actually, resulting in decreases in incentive fees as a percentage of revenue for new signings. We believe by maintaining our direct operation at its current scale this will serve as a crucial differentiator for Energy Monster against market peers in the future. And especially once COVID outbreaks are contained. 08:10 We are also continuing make strong progress expanding our KA coverage. Notably, during the quarter, we signed major brands such as Peet's Coffee and one [indiscernible] cinnamon. For the full year of 2021 we signed leading brands such as KFC China and Universal Beijing Resort. The continues signing of both international and domestic brand seeks volumes about our ability to deliver the comprehensive products and services to this KA brands. Namely, our ability to tailor system that directly connect the membership system between Energy Monster and the KA brand for increased synergy between the user base to customize both cabinets and power banks that better fit into the POI experience, and to provide high quality maintenance services after the cabinets are placed serves as a key differentiator in Energy Monster standard proposition to KAs. 09:17 With the largest and most well-trained team of BD personnel in the market, we believe our direct operations team will be able to leverage our existing strength in the KA segment to accelerate our penetration into all types of KAs throughout China, cementing our market leadership in the industry. 09:39 On the other hand, our network partner model continues to expand quickly as we implement new channels for partner acquisition, such as telemarketing and online acquisition. We were able to accelerate the pace of our network partner acquisition during last year through these new channels. As of the end of the fourth quarter, we have approximately 1,000 network partners, this is up 300 quarter-over-quarter and 700 year-over-year. To further unlock the value of our network partners we are opening up more regions that were once exclusive to our direct model, to our network partner model. We have already tested the combination of these 2 models in various regions across China with strong results indicating faster market share expansion. 10:35 The usage of both direct network partner models in a given region allow us to leverage these resources and connections of our network partners to better penetrate into regions. This year by implementing both models in more regions we will be able to leverage the flexibility of our 2 models to unlock the potentials of more regions and further accelerate our market share expansion rate. 11:06 Now, in addition to increasing our network partner count we are also making continuous strides towards the training and support for these network partners once they join us. We're introducing new ways of providing actionable intelligence at a higher frequency to our partners to help them better manage their operations. Our support team works with network partner on one -- one-on-one basis and provide 24 hour support for all their needs. This is especially beneficial for new network partners, allowing them to more quickly scale the operations up, while also helping existing network partners become better and stronger. 11:53 Overall, in combination with existing network partners marketing campaigns we will continue to scale our network partners reach, both in terms of our partner's quality and quantity in order to efficiently expand our POI network coverage across China. 12:13 Next is our initiatives on the operational front. Because of impact of the COVID on our topline, we have to continuously optimize our fixed costs and expenses. That's why we continue to implement our power bank optimization program during the quarter, which recommends to our business development personnel through their system with the most suitable amount of the power banks that should be in a given cabinets based on a historical usage and return matrix. This program continues to benefit us by helping improve asset utilization, which in turn reduces depreciation and improves our experience by making it easier for users to find cabinets with a slot available for returns. 13:09 In addition to improvements towards asset utilization, we are also proactively exploring ways to optimize our cabinets. Energy Monster has a history of a high-quality offer in product. In the second half of 2022 we plan to roll out newer version of cabinets with similar quality, but different internal layouts. Compared to our current cabinets this new ones will have enhanced features, while having a significantly lower CapEx. The reduced CapEx will result in lower depreciation and higher asset efficiency. These new cabinet will also significantly enhance our ability to acquire more high quality network partners as it will reduce the payback period for our partners and unlock their growth potential. 14:07 With these new cabinets we will continue to lead the market in terms of hardware design and capabilities, while at the same time increasing asset efficiency on a dollar basis, both for our direct operation and for our network partners. We are also actively introducing new updates to our front and back end systems. We continue to exercise every aspect of our business development workflow in a systematic way to increase the levels of automation in our work processes. During the quarter we made improvements to our system that uses a high layer of automation in the POI verification stage. The new process simplifies the procedure for the signing of new location for the BD person by using more systematic way of checking the background information of the location. 15:07 Improvements like these all gradually add up to our ability to increase our employee efficiency. Average POI managed per BD increased by approximately 30% year-over-year during the fourth quarter. In the future, we will continue to update our systems in order to drive continuous efficiency improvements for our employees and help to lower long-term employee expenses as a percentage of revenue. 15:39 Fixed entry fee continues to be a significant expense in time of COVID outbreaks as it is fixed in nature. During the fourth quarter and as a result of the impact of COVID, revenue generated by POIs with only fixed entry fees were not enough to cover the entry fee. This fixed entry fee continue to weigh down our financials during the times when revenues are at sub-normalized level. To combat this we continue to implement a series of measures to help us reduce these fixed expenses. For example, we have set higher threshold for new signings for the use of fixed entry fee. Now fixed entry fee contracts are only considered for larger traffic POIs and KAs. 16:37 We have also introduced an upfront and a variable method of providing incentive fee that essentially transition fixed entry fees into variable one. Going forward, this year we will continue to tighten our control over the use of the fixed fees, while at the same time promoting new POIs and existing POIs with fixed fees to transition in variable ones. Once we are able to increase the efficiency of our asset, improve cabinet cost efficiency, improve our employee efficiency and transition more fixed fees into variable ones we will be better positioned to combat the challenges set forth by COVID outbreak. 17:29 In conclusion, we continue to face challenges in 2022. These COVID outbreaks had a significant impact on foot traffic during the period of impact, while this impact is short term in nature. The increased frequency and significance of these outbreaks continue to generate headwinds during the first quarter of this year. For example, outbreaks in Xi'an, Tianjin, Zhuhai in January, Chengdu, Suzhou, Wuhan in February resulted in a decline ranging between 22% to 68% in the week following the initial case when compared to the normalized level. While we are highly confident that the foot traffic will normalized over time, we continue to plan and prepare the company for all possible COVID scenarios. Our core initiatives in lowering our fixed costs and expenses remain at the centerpiece of our ability to better mitigate the impact of COVID on our profitability. 18:42 Going forward this year, measures such as implementing the power bank optimization program, lowering of cabinet costs, increasing of our employee efficiency and the transitioning of fixed expenses into variable ones will help us better navigate ourselves during these times. 19:03 Other measures, such as maintaining our direct model operation at its current scale, while competitors scaled down, increasing of our network partners quality and quantity across more regions and focusing on the KA penetration will be vital differentiators going forward. That will help Energy Monster increase its overall market share within China's mobile device charging service industry. Thank you very much. 19:33 I'll now turn the call over to Maria Xin, our CFO for the financial highlights.
Maria Xin: 19:41 Thank you, Mars. Now let me walk you through the fourth quarter and the full-year 2021 financial results in greater detail. For the fourth quarter of 2021, revenues were RMB836.2 million, representing 9.7% year-over-year decrease. Revenues from mobile device charging business was done 9% to RMB812.1 million and accounted for 97.1% of our total revenues for the quarter. The decrease was primarily attributable to the impact of COVID-19 during the fourth quarter of 2021. 20:20 Revenues from power bank sales were down 25.7% year-over-year to RMB18.9 million and accounted for 2.3% of our total revenues for the quarter. The decrease was primarily attributable to the impact of COVID-19 during the fourth quarter of 2021. Other revenues were down 34.7% year-over-year to RMB5.2 million and accounted for 0.6% of our total revenues. The decrease was primarily attributable to the decrease in user traffic as a result of impact of COVID-19 during the fourth quarter of 2021. 21:03 Cost of revenues was up 39.7% year-over-year to RMB154.1 million for the fourth quarter of 2021. The increase of cost of revenue was primarily due to the increase in operational scale resulting in increase in maintenance cost and depreciation. Gross profit was down 16.4% year-over-year to RMB682.1 million for the fourth quarter of 2021. Operating expenses for the fourth quarter of 2021 was RMB731.5 million, up 5.2% year-over-year. Excluding share-based compensation, non-GAAP operating expenses were RMB744.4 million, representing a year-over-year increase of 5.5%. 22:00 Research and the development expenses for the fourth quarter of 2021 was RMB23.6 million, up 15.5% year-over-year. The increase was primarily due to the increase in personnel related expenses. Sales and marketing expenses for the fourth quarter of 2021 was RMB704.3 million, up 4.2% year-over-year. The increase was primarily due to the increase in personnel related expenses and the incentive fees paid to the network partners. 22:35 General and administrative expenses were RMB31.5 million in the fourth quarter of 2021, up 30.3% year-over-year. The increase was primarily due to the increase in professional service expenses and the personnel-related expenses. Loss from operations was RMB69.4 million and operating margin for the fourth quarter of 2021 was negative 8.3% compared to 11% in the same period last year. 23:11 Net loss was RMB68.5 million in the first quarter of 2021. Net margin for the fourth quarter of 2021 was negative 8.2%. Non-GAAP net loss, which excludes share-based compensation expenses was RMB61.3 million in the fourth quarter of 2021 compared to a non- GAAP net income of RMB84.7 million in the same period last year. Cash flow generated from operations for the fourth quarter of 2021 was RMB100 million. Capital expenditures for the fourth quarter of this year were RMB116.5 million. 23:56 Now moving to the full year 2021 results. In 2021, revenues were RMB3.6 billion, representing 27.6% year-over-year increase. The increase was primarily due to the increase in revenue from mobile device charging business. Revenues from mobile device charging business were up 27.4% to RMB3.5 billion and accounted for 96.4% of our total revenues in 2021. The increase was primarily due to the recovery from COVID-19 during the first half of 2021 and the increase in number of POIs and available for use power banks. 24:44 Revenues from power bank sales were up 32.6% year-over-year to RMB102.9 million and accounted for 2.9% of our total revenues in 2021. The increase was primarily due to the recovery from COVID-19 during the first half of 2021 increase in the number of POIs available for use power banks and customers that purchased the power banks. Other revenues were up 32.2% year-over-year to RMB26.7 million and accounted for 0.7% of our total revenues. The increase was primarily due to the recovery from COVID-19 during the first half of 2021 and the increase in users and advertisement efficiency. 25:37 Cost of revenue was up 29.3% year-on-year to RMB557.2 million for the year of 2021. The increase of cost of revenues was primarily due to the increase in operational scale resulting in increase in depreciation and maintenance cost. Gross profit was up 27.3% year-over-year to RMB3 billion in 2021. Operating expenses for the year of 2021 was RMB3.1 billion, representing 39.6% year-on-year increase. Research and development expenses in 2021 were RMB93.9 million, up 32.3% year-over-year. The increase was primarily due to the increase in personnel related expenses. 26:36 Sales and marketing expenses in 2021 were RMB3 billion, up 39.1% year-on-year. The increase was primarily due to the increase in incentive fees paid to the location partners and the network partners from the increase in the mobile device charging business revenues and increase in personnel related expenses. General and administrative expenses in 2021 were RMB119 million, up 9.5% year-over-year. The increase was primarily due to the increase in personnel related expenses and professional service expenses. 27:17 Loss from operations were RMB109 million and operating margin for 2021 was negative 3%, compared to 4.7% in 2020. Net loss was RMB124.6 million in 2021, net margin for the year was negative 3.5%. Non-GAAP net loss, which exclude share-based compensation expenses was RMB93.9 million in 2021, compared to a non-GAAP net income of RMB112.6 million in 2021 -- in 2020. 27:57 Cash flow generated from operations in 2021 was RMB210 million. Capital expenditure was RMB416 million in 2021. As of the December 31 2021, the Company had cash and cash equivalents, restricted cash and short-term investments of RMB2.8 billion. Energy Monster currently expect to generate RMB750 million to RMB780 million of revenues for the first quarter of 2022. Please note that this forecast reflects the Energy Monster current and the preliminary review on the industry and its operations, which is subject to change. 28:50 Thank you for listening. We are now ready for your questions. Operator?
Operator: 28:57 [Operator Instructions] Our first question comes from Vicky Wei with Citigroup. Your line is open.
Vicky Wei: 29:30 Good evening management and thanks for taking my question. So would management share some color on the latest competition landscape during the tough macro conditions? Does management witness any escape of other players or consolidation in the industry? Any color for the industry outlook would be great. Thank you.
Mars Cai: 29:54 Thanks for the question. As I mentioned, the competitive landscape has really started to ease down starting in the second half of ‘21. We are seeing a number of our peers scale down their direct model and aggressively cutting down their business development personnel. Similar to what happened in early 2020 when the COVID first broke out. It was also during that time when Energy Monster was able to quickly increase its market share. This current shift in competitive atmosphere has resulted in less competition across the board for new locations. And we are seeing a continuous decrease in incentive fee rates for new signings. 30:44 For energy Monster, we continue to maintain a strong cash flow and cash reserve and we strive to deliver long-term results to our stakeholders. That's what we will continue to maintain, our direct model at it's current stage. We believe that the direct model's ability to quickly execute the expansion of our POI network and advantage in acquiring KA brands will be a key differentiator, both during and post COVID. 31:18 On the other side of the equation is our network partners. We continue to quickly acquire new high-quality partners as well as providing additional support for their operations. Our new cabinets in mid-2022 will greatly enhance our ability to acquire new network partners as it reduces their payback period. Overall, I believe our core strategies and measures taken will collectively define our competitive advantage. 31:51 In terms of consolidations, we continue to increase our market share in 2021 and we will continue to do so this year. We see that a number of players are scaling down and especially they are direct operation. This is an opportunity for us to further expand our market share, especially given our strength in both the direct and network partner mode. We believe once COVID outbreaks slows we will be best positioned to gain additional market share. Thank you very much.
Operator: 32:26 Our next question comes from Charlie Chen with China Renaissance. Your line is open.
Charlie Chen: 32:32 Thank you management for taking my questions. I have a question about the COVID situation. So how does the management view the current COVID situation in China, and going forward into 2022? What's the impact going forward? And if the outbreak continues for like, mid or long duration, so how would that -- how would company adjust your strategy or tactic to battle against the situation? 33:00 And also can you share with us some of your developments outside of your energy renting business, like, more a new business initiatives and other things, can you share with us some color on that? Thank you.
Mars Cai: 33:16 Sure. Thank you for the question. Yeah, I should say, we are ready. We currently prepare ourselves for all scenarios with COVID from short-term to long run. While we don't expect this to last for the longer term for sure, we still have to be prepared, namely, we have to continue to expand our location networks so that our service can reach more customers throughout China. To do so, we will leverage both our direct and network partner models to quickly expand our presence in both existing and new regions. 33:52 We will also open up more regions to both the direct and network partners in order to further extract the potential of each region and improve our market share. We are also implementing a number of new measures that help us reduce our fixed expenses. Things such as the improvements of our asset utilization through both the power bank optimization programs, as well as the capital cost reduction and the transition away from the fixed incentive fees will all improve our operations, especially during period of external impact. These adjustment will help us mitigate COVID-related impact in the long run. 34:39 As for the new business segment, we continue to actively explore opportunities in a number of different sectors. We will disclose more additional information once our new segment reaches more meaningful scale. Thank you.
Operator: 34:58 Our next question comes from Lucy Li with Goldman Sachs. Your line is open.
Lucy Li: 35:04 Thank you, Mars and Maria. So related to the previous question on COVID situation, can management also share with us what the current outlook for 2022 in terms of revenue, profitability and operating metrics? And maybe more color on the near-term in the first quarter as well?
Mars Cai: 35:32 Thank you. Yeah, I wish I could, honestly. But I have to -- I mentioned that, it is important to note the COVID outbreak is the most significant factor negatively impacting our operations in terms of revenue, profit and operation metrics. Say for revenue, the decreased foot traffic to offline locations as a result of the outbreak results in people more likely stay at home and tempory COVID protocol implemented by the government. And when the top line is impacted, the fixed cost will take a larger portion for sure, that will affect the bottom line. That's why we strive to push the efficiency everywhere. 36:16 And for the operation -- operating metrics, COVID impacts to their. The offline sector results in higher closure rate of smaller location partners. At this time, I have to say what we are going to focus is to get ready. So I think we're ready. We are unable to provide guidance on revenue and profitability, operating metrics for the full-year 2022, because it is impossible to predict the frequency and size of the COVID outbreaks in any given time period. We have to prepare ourselves at all time for all COVID scenarios. That's why we continue to focus on strengthening Energy Monster core advantages so that we can better navigate ourselves during the COVID outbreaks and increase our market expansion rate. Thank you. 37:13 And then I'll move to Maria for the guidance part.
Maria Xin: 37:17 Thanks, Mars. I would like to share you more recent trend about our first quarter. The increase of frequency and set of impact of this outbreak continue to generate hiring in during the first quarter of 2022. For example outbreaks in Xi'an, Tianjin, Zhuhai in January, Chengdu, Suzhou, Wuhan in February resulted in the decline ranging between 20% to 70% in the weeks following the initial case, when compared to the normalized level. 37:49 The most recent outbreak in the past week in Shanghai is also resulting in a significant drop in our revenue within the region. This external factors continue to impact our asset efficiency, resulting in around 20% decline in revenue per power bank. However, we remain confident in the long-term development for both Energy Monster and the mobile device charging service industry. Thank you for your question.
Operator: 38:22 We are now approaching the end of the conference call. I will now turn the call over to Energy Monsters CFO, Maria Xin for closing remarks.
Maria Xin: 38:33 Once again, thank you for joining us today. Please don't the hesitate to contact us if you have any further questions. Thank you for your continued support and we look forward to speaking with you in the coming months. Thank you.
Operator: 38:49 Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.